Operator: And with that, I will hand over to Bjorn and Timo to take you through the results.
Bjorn Rosengren: Thank you, and a warm welcome from me as well. Today, I got to pick the video. And the E-mining stands close to my heart and the ability that ABB has to support the mining industry to become more sustainable. We really looking forward to development of this new product. Now, let's take a look at Q3. It was somewhat a mixed bag. Let me start with the positives. First, the strong order growth. It spanned across all business areas with growth in the range of 17% to 40%. Secondly, the margin of 15.1%. Yes, we had some support from unusually low corporate costs. But, that's fine with me. That said, I do not expect these low corporate costs to stick in going into Q4. So we have some work to do before we hit an underlying run rate of the margin target of 15%. But I have promised you to get there in 2023 and we will reach it. I also want to mention the cash flow of 1.1 billion, which is, in my view, was excellent. Last but not least, we have some exciting product launches. On top of the e-mining portfolio in the video, we launched the world's fastest EV charger. It is capable to fully charge an electric car in 15 minutes or less. These could be a game changer, but there were also challenges in the quarter. We would not deliver as much as we wanted to because of the tight supply chain. It stretch beyond component shortages is also logistics. And the tight labor market. We're at high production levels, meet continued COVID, constraints. These impacted us more than we thought it would. And these challenge will not go away quickly. Let's turn to page 4 and look to the different segments. I already mentioned that orders were strong. They increased by 26%, although from a low level last year. It's fair to assume that that is certain contribution from customer putting through orders to manage availability. It's difficult to give an exact number. But we believe it's less of an impact than we saw during the first half of the year. The improvement was supported by a positively development in more or less all customer segments. And we saw increased demand in short cycle, as well as process industry-related businesses. Orders in our service business increased by 18% while service revenues increased only 2%. These means that we should see in positive mix going in to next year. In the revenue charge, you can clearly see that the revenues were impacted by the challenges to get stuff out of the door due to the strength in the value chain. We saw an increased impact on ability to deliver compared to Q2. Comparable growth was limited to 4% year-over-year, meaning we are building order backlog. Now, let's take a quick look at the different regions on slide number 5. Growth was strong in all 3 regions. In America, the important U.S. market increased by 31%. In Europe, more or less, all the top ten markets improved by strong double-digit growth rates. And EMEA includes a 9% order growth in China, where we saw solid demand in the quarter. On Slide 6, you see the charge with their operation EBITDA and the margin of 15.1%. Overall, we have kept it stringent cost control. SG&A was 17.5% of revenues, down from 18.1 last year. As the world starts to open up for business travels, we need to make sure that we have a smart approach; use the virtual earnings from the last year, while still making sure we maintain our relationship with our customers. I'm very pleased about the jump in the gross margin. Process Automation showed stellar improvements, while Electrification and Motion were impacted by the higher raw material costs as we have said they would be. I already earlier mentioned the unusually low corporate costs where we had some positive coming through in the quarter. But I do not expect this to continue into the next quarter. In summary, considering the challenges from the tight supply chain and pleased about overall delivery in the quarter. And with that, I'll hand over to Timo to talk a little bit more about the numbers.
Timo Ihamuotila: Thank you, Bjorn. And greetings to everyone from my side as well. And as usual, we'll start with electrification, where we saw continued strong demand driving order growth to 17%. The strength was spread across geographies and was particularly strong in Americas. It was also good to see the mid-single-digit growth in China. From end-market perspective, we saw a positive development in all segments. I particularly mentioned the higher activity in transport, and infrastructure with solid development in both residential and non-residential buildings. And we also saw an improving pipeline with oil and gas segment. I would say that in these strong orders, it is fair to assume some positive impact from customers free ordering in the way of a general tight supply chain. We have actively worked with quality assurance in the orders we accept, even stopping away from -- even stepping away from some where lead time to deliver is too long. The strength value chain hampered revenues for electrification in the quarter. The constraints extended beyond just semiconductors. We also saw impacts from a tight labor market, particularly in the U.S. and logistics issues. There were also some customer acceptance delays as they wait for complete deliveries. These challenges triggered a sequential decline in revenues even though we reached an improvement of 4% year-on-year. If we add this up, the order backlog further increased to $5.2 billion, which is a record high level. I'm sure you remember that we said during the spring and summer that the electrification we'll be coming off a favorable raw material hedges. We now see it coming through in the numbers. We are close to offsetting this with price increases. But then of course, we have a situation with cost increases additionally inflated by the tight supply chain. All included, the margin declined sequentially, while it improved from last year, supported by volumes and stringent cost control, excluding last year's positive impact of about 100 basis points for the non-repeating items. The underlying operational EBITDA margin actually improved by approximately 60 basis points to 15.9%. Looking ahead into the fourth quarter, we expect continued challenges in our ability to deliver. Also, comparables are getting tougher. We expect a low or no comparable revenue growth year-on-year. And the normal pattern of sequential decline to operational EBITDA margin. Let's move onto motion and you will recognize similar topics as for EL. As you can see in the left side of the chart. Order intake remained at a very high level and growth was strong across all divisions and segments. And we saw double-digit growth rates in all 3 regions. In total orders increased 22% compared with last year. I should mention here that also motion continued to focus on maintaining a good quality in the order backlog, meaning, and without putting numbers on that, orders could have been even higher should we have captured all that would have been available to us. Comparable revenues improved by 2%, adversely impacted by the semiconductor shortages and imbalances in the value chain. Like in Electrification, the headwinds from raw - higher raw material prices and cost inflation in general have increased. It is therefore encouraging to see Motion achieving a stable operational EBITDA margin at the high level of 17.4%, supported by a favorable mix, price increases, and a small volume impact. For the fourth quarter, we anticipate around mid single-digit growth for comparable revenues and the normal sequential pattern of softening margins due to the mix in deliveries. We now turn to Slide 9 and Process Automation, where we added further to the order backlog with comparable orders and revenues expanding 40% and 5%, respectively. With order growth benefiting from a low base last year. I'm sure you remember that we have guided for a pickup in business activities in the process-related industries during the second half of this year. And we see that happening now. We saw good progress in all divisions and a positive development in all segments. I want to mention that we booked a large order of about a $120 million in the energy industry division in Australia. We will supply the overall electric power systems for sub-sea natural gas compression. The order is a great example of our technology leadership with our solutions operating under extreme conditions at 1400 meters below sea level. I was pleased to see the operational EBITDA margin coming in at strong 13.7%, the highest margin in three years. Excluding the adverse impact from the charge related to the Crusader Project last year, profitability improved approximately 330 basis points. The result benefited from the positive volume development, improved business mix, efficiency measures, and strong project execution. In Q4, we expect comparable revenue growth to pick up in the mid-teens range. And Q4 tend to be the strongest margin quarter for PA so I hope we see somewhat over sequential pickup also this time. On Slide 10, we turn to Robotics and Discrete Automation, which had another quarter with good order intake up 26% on a comparable basis. The strength was broad-based, led by strong growth in general industry, consumer segments, and service robotics, as well as machine automation. However, Machine Automation Division has seen significant impact from the semiconductor shortages and higher input costs. This has meant increased lead times to customers while managing the needed price increases. We are working in tight cooperation with our machine automation customers to manage this difficult situation. ROA revenues declined by 3%, impacted by both Machine Automation and Robotics. The Robotics impact is a combination of a positive momentum in the non-automotive Robotics segments, which however was offset by a lower deliveries from the outdoor systems business. The lower deliveries are a consequence of our earlier strategic decision to deselect systems business orders with low ABB content to improve quality of revenue and drive profitability long term. This improved mix with Robotics is already partly visible in the operational EBITDA margin of ROA, which increased by 160 basis points compared to last year despite the lack of comparable growth. The improvement also benefited from a higher share of service business and earlier implemented efficiency measures, which overall more than offset the adverse development in machine automation. Looking into Q4, we expect deliveries, particularly in machine automation, to still be adversely impacted by component shortages. Hence, we anticipate comparable revenue growth to be broadly in line with Q3. And we expect the operational EBITDA margin to sequentially decline, as it normally does between Q3 and Q4. Moving on to Slide 11 showing the group revenues and operational EBITDA bridge. As you see, the year-on-year improvement benefited from the absence of last year's charge related to the Crusader Project. A reduction of losses incurred in non-core businesses, as well as our organic development. The latter was supported by higher volumes mix and earlier implemented cost actions, while commodity prices increases after-hedging slightly outpaced price increases for the quarter. Now, on Slide 12, we return to my favorite slide on this deck, or the favorite topic. In Q3, we continued this year's strong cash performance with cash flow from operating activities of $1.1 billion, an improvement of about a 720 million from last year. A great achievement driven by higher earnings as well as significantly lower transformation and furnished pension impacts compared to last year. As you can see in the chart, our cash generation for the first 9 months already exceeds the full year cash generation in both 2019 and 2020 by approximately $400 million. And I'm confident that we can continue this positive momentum and make this a really good cash flow year also regarding free cash flow. Then, before I hand over to Bjorn, let me just briefly come back to some of the near-term challenges mentioned today. We do not expect these to go away tomorrow, hence, we need to focus on how we best manage the situation of a continued tight supply chain. We will put emphasis on order scrutiny to make sure we can deliver and secure quality in the order backlog. We will build inventory where appropriate, and we will continue to work on redesigns and validate new suppliers. Raw material prices should be a near-term headwind and tangible for our product's businesses. Our teams have done well so far in mitigating through active price management. And we will continue to be active on pricing. The strength value chain drives cost inflation in various areas. I use here our freight and packaging expenses as an indicative example. We also see labor cost inflation in some regions, and also labor accessibility can be a challenge. We are in a good position in the sense of having production footprint close to sales. But even so, when components are scarce, we may have to shift between sites, which we normally would not do. We have taken all these impacts into account to our best ability in the numbers discussed today. I also want to say that I think our business management teams are handling this tough situation really well with needed speed and accountability. And the fact that we have virtually no order cancellations indicates that the whole market is very very tight. And on that note, I would like to hand back to Bjorn.
Bjorn Rosengren: Thank you, Timo. Okay. Let's finish off with some thoughts on how we see the ending of the year. We expect the market to remain robust in the fourth quarter. As you see in the summary of the segments, we expect marked improvements in most areas compared with last year. This said, we have talked a lot about the supply chain situation today. We saw it impacted us in the third quarter, and we do not think this will be a quick fix. So we anticipate comparable revenue growth into Q4 to be broadly similar to what we saw in Q3. We expect the operational EBITDA margin to decline sequentially from the 15.1% reported today, as it normally does. Like I mentioned, I do not expect the low corporate costs to repeat. And Q4 anyway, tends to be a quarter with the seasonally weaker margin. This means that we slightly adjust our full-year guidance to comparable revenues to be between 6% and 8%, slightly down from the previous indication of just below 10%. We lead the margin guidance for the full year impact. Like I said earlier, we are not yet a run rate of 15%, but we are clearly making good progress. We have some more work to do internally. We need to make sure all divisions now take the responsibility that they have been handed, with full ownership of their businesses. I'm very confident that we will deliver and then move beyond. And with that, I'll let Ann-Sofie (ph) takeover and guide us into the Q&A, please.
Operator: Great. Thanks, Ben. And with that, we will have for the Q&A. [Operator Instructions] I can see that we already have questions coming through. And I just would like to repeat myself from previous quarters, I kindly ask you to limit yourself to 2 questions, and we'll do our best to get through as many of you as possible.
Unidentified Analyst: Good morning, everyone. I hope all are well, and thank you for taking my questions. Two, please. I was trying to think of clever ways to ask this question about Electrification margins. I guess, I guess what, what we're trying to understand is where in the band is the new normal? You've made it very clear that there were hedges rolling off and other effects. We -- I think we all knew that the Electrification margin would be coming down sequentially, but maybe it's a little bit below than what we thought. I guess my question is, if we just step back and think about price cost volume into next year, do we buy the argument that in-principle, Electrification margin should be going up, in-principle, in 2022 versus 2021? That's the, that's the first question. And then -- and the second one, I'll just get it out of the way, it's just around China.
Alex Virgo: I saw some of the press commentary was quite positive if -- unless we got our numbers wrong. If we look at revenues and orders between 2Q and 3Q, they did obviously sequentially come down. And when I look at the sales mix at ABB China to me, minus 4% is the main contributor. So can you just explain -- is the supply chain situation different in China and really is going on sequentially in China? Thank you.
Timo Ihamuotila: [Indiscernible] There is a bit of dare I say, feedback. There's -- somebody should be muted. I think maybe in the conference operator, actually.
Bjorn Rosengren: Yes, yes, yes. I absolutely did, thank you. Yes. Yes, yes. [Indiscernible]
Alex Virgo: Okay. Thank you very much indeed for that view on -- and just so you know, I'm being told by my team that they can hear me on the webcast but not management. I just want to be clear that there may still be some issues with the audio just so you're aware. I'm going to log off and pull back in, but thanks, thank you for answering the questions.
Bjorn Rosengren: Thank you. Bye, bye
Automated Voice: This conversation will be recorded.
Bjorn Rosengren: And they are working hard to sort out these supply issues in that business. It's a little bit of a big smack. I think Robotics is ticking out more positive and a good development, while we see the biggest supply chain problems in the Machine Automation.
Operator: Okay. And we'll follow-up straightaway with the second question here from James [Inaudible]. And it's, The revenue challenges in 3Q and 4Q, perhaps a little bit tougher than some others have suggested. Have you bench-marked your sourcing, and do you see areas where ABB could strengthen the chain with triple or more sourcing and more localization?
Bjorn Rosengren: I think that the strategy of ABB is clear, it's an -- long before I started and that is to be global but still local. Meaning that we produce our products in the areas actually where we sell the products to China -- production for the Chinese markets in China, U.S. is the same in Europe. So we are quite local today. Of course, when it come to semiconductors, this is of course a global issue which is not related to the way we source in ABB. It's just a shortage and this is affecting all companies that have digital products as ABB has in this portfolio. We need to cope with that until the supply meets the demand. And I know that the suppliers are working hard. And we can see improvements in certain suppliers while other ones might be having some more problems. But I think it's a correct observation that going forward on the supply, I think we all learn that single sourcing is not the way to go. You need to have multiple sources where you can buy some of them close and some there may be in more cost-efficient countries. I think our businesses are learning, but I still think the execution in these tough time is excellent from the businesses and I think here the decentralization has really helped. Timo you want to add a little bit there?
Timo Ihamuotila: Yeah, because this was, uh, yes, thanks. Thanks for the question because this was a bit of a comparison question. So just want to highlight that when you look at our order backlog, it has gone up from last year, 2.1 billion to 16 billion. And we are really not seeing order cancellations. And of course, if our situation would be like very different from other people's situations, we think that they would go elsewhere, which is not happening. So in that sense, we think that the quality of the order book is solid. We could have taken even more orders as Bjorn said. And I think this bodes well than moving forward into 2022, 2023.
Operator: Okay. Thank you. And we go back to a question from the telephone line, and we ask you to open the line for Daniela at Goldman Sachs, please.
Daniela Costa: Hi. Good morning. Hope you can hear me?
Timo Ihamuotila: Yes.
Operator: We can hear you.
Bjorn Rosengren: We can do.
Daniela Costa: First, I thank you. I want to ask 2 things. One first, I don't think we spoke today a lot yet about the portfolio plans, and particularly how you're progressing on the processes for EV charging and turbocharging. And also, I think you were doing a review of Process Automation, so my first question would be regarding that. And then the second one, I think you've talked through part of what I wanted to ask, but I still just -- final confirmation on. It sounds like your lowering guidance on 2021 on organic growth is just purely supply chain reason, not really an underlying demand worry. Shall we expect a full compensation of that into 2022 or do you think that is still some risks that there are, maybe some speculative orders on it, or it might not be able to solve the situation on supply chains timely in 2022 and demand could erode?
Bjorn Rosengren: Let me start with the demand situation and the orders and taking balance some of the guidance there. It's a clear supply chain thing. Orders books is stronger than we could imagine and we expect that the strong order situation will continue. Then comes of course the question, is the order book and also some of that we're building inventory among our customer. We trying to scrutinize that as much as we can, and we're being very restrictive in booking orders that we believe would end up on the shelves. So put it from that. So yeah, the guys take it down into pure -- pure production and supply things. And of course, having an order book over 16 billion. We will continue to deliver on that order book and all new orders that are coming in, of course, going forward. So we do not believe that there will be any loss business out of that. Timo said that the quality of the order book is great. So that is from that let's then just take it first on Process Automation and I know there are some rumors about review of that business and it's of course clear, that's part of my job of learning more about the different businesses we have. And we have spent quite a lot of time understanding the strategies, looking at the potential going forward. And we are very convinced that Process Automation is part of our purpose. And we also believe that there is good potential to improve performance in many of these businesses going forward. So that is absolutely not on our agenda when it comes to Process Automation or any kind of divestment of that. It's part of ABB, and we'll continue, at least in the near future, to be part of that. Then on the other 2 business and Turbo, we -- during Q3, we completed the sales of Dodge, and we expect to close it now during Q4. Fantastic sales. I think good for Dodge, and good for ABB, and good for ABB shareholders. We are very pleased with that. Now we're working hard to separate the turbo business and that is going well. And we are at this moment coming closer, I think maybe in this quarter and the beginning of our next, we will have this prospect. We still going in dual tracks, as we said from the beginning, meaning we are checking out if we have some industrial or financial buyers who are prepared to pay for for these assets in the right way. But our preferred way, as we said before, is to do a spin off to the shareholders, but the final decision of that will probably be taken during the first-quarter.But separation is going and during next year we should see a finalization of that divestment. On the immobility, What can I say? It's an enormous market. Our operations are doing well. We see growth well over 100% quarter-by-quarter by quarter. And we see that this business have a tremendous future. So what are we doing now? We are separating the business. We are looking for a new Chairman, which the process is going on. And we are still waiting for a final decision how to do it, but we do expect if plans goes as we want to do this IPO during first half of the year. So things are moving well there and we think this can be an interesting growth vehicle going forward. I think I caught those -- was that okay, Daniela?
Daniela Costa: Yes, that answered. Thank you very much.
Bjorn Rosengren: Thanks.
Operator: Thank you. And we'll take another question from the online option. And it's -- we have a question -- a couple of questions here actually, coming from, from Guillermo at UBS. And if we start with the book-to-bill. It's expanding and lead times as well. How is the backlog margin quality evolving?
Bjorn Rosengren: I'll give that to, actually to Timo.
Timo Ihamuotila: Yes. Yes. Thanks Guillermo for the question. Maybe I'll start with some facts going into Q4. When we look at what's our estimate on how much would be coming from the backlog going into Q4 compared to what would be in a way a normal year were maybe sort of 8 to 9% higher. So in that sense, if the supply stuff would start to ease, that will mean that our revenue would have some upside. But our best of our knowledge, we are, of course, where we are at the moment, but we have a stronger backlog going into Q4 than we would normally have. Then when you look at the backlog margin and this is actually a really great development because we follow, of course the operational gross margin, we follow the order gross margin, and then the backlog gross margin. And both order gross margin as well as backlog gross margin have been moving up and it's particularly evident in the robotics business. Also evident, for example, in PA, so also from margin quality perspective, the backlog is moving to the right direction.
Operator: Very good. And we follow up, I think with another question for Timo since it's your favorite topic of cash flow. How sustainable is the strong cash flow going into Q4 and the beginning of 2022?
Timo Ihamuotila: Okay. Thanks for the question. So I think after 2 years of quite a bit of work on changing the cash dynamics of this Company, 2019, 2020, where, of course, somewhat unusual regarding cash, we are now coming to what this Company should be able to deliver on cash. And in that sense, we are in a situation where if the earnings improve, the cash flow will improve and we -- I think still have some work to do in networking capital. So if you just look at this first 9 months and I'll go to free cash flow directly because I know that's sort of the interest out there. We are at 1.9 billion of free cash flow now for the first 9 months. Last year full year was about a billion. And we would expect to have a good cash quarter Q4 as well, so let's see where it lands. But I would hope to see us on this -- let's say 2.5 billion, something like that as free cash flow for the full year. And if that happens, then of course we are in a very different situation. For example, on the dividend payout ratios and those kind of situations. And we continue to have a strong balance sheet, which we'll then continue to invest in line with our capital allocation principles.
Operator: Very good. And we'll open up the line from Alex at Bank of America Merrill Lynch. Can you hear us, Alex, since that seems to be the topic of the day?
Alex Virgo: I kinda see that pretty well. Thanks for taking the questions. Good morning, people. I guess I wanted. Just touch a little bit more on China and perhaps less about the supply chain itself and more about power outages and the impact that the power supply situation is having on you. And I wonder whether I could push you, Timo, for a guesstimate, I should say is maybe a better way of putting it on the actual impact in your revenues in H2 from all of these things put together. Would it be a sensible sort of 300 to 400 basis points or so, which is simply just the difference between where we were expecting things to see for the full year and the bottom end of your range? I just wanted to push you for a best guess, if I could, please.
Bjorn Rosengren: Thank you, Alex. I can maybe start the question and maybe then Timo can follow up on that part. I think year-to-date, we have not had any effect because of power shortages in China. We have had a lot of COVID tests. We have in the part which might have affected somewhat production levels, at least made it a little bit more complicated. There might be some suppliers who have had some effect in the southern part of China. But so far, we wouldn't say that power shortages have had any effect. Going forward I think that's a little bit premature to say if it will or not. China is an important market. It is down for more than 15%, 16% of our revenues, and we have, of course, a lot of production for that market. So it is important that China continues to develop. The orders are -- they are very strong and continue to be in demand in the market. And so far, our productions have been able to deliver in line with that.
Timo Ihamuotila: Yes. Maybe I'll just comment a little bit on this as well. So first of all, when you look at the China order growth, and then when you compare it to, for example, U.S. or Germany, so the dynamics are approximately as follows: China is up, as Bjorn said, 8%, 9%. So about 20 coming from '19, '20 to '21. And then when you look at Germany and U.S., it's pretty much down 10, up 30. All of these markets are on this 2-year period developing pretty much in a similar way if you take the 2 year stretch. And that shows that we really have a strong demand picture in our main markets. And it's actually fairly similar when you take the COVID impact out. And then when you look at China, on the revenue side in China, we have -- I'll just give you one example. A situation where, for example, in drive products, very strong market in China. We have simply not been able to get all the product out. We have also managed the distribution channel very well, and that is one of the reason why the revenue is now down. And when that corrects itself, we would expect to see the revenue pickup in line with the, with the order or the demand picture.
Operator: Does that answer your question, Alex? I hope so.
Alex Virgo: As well as can be expected. Thank you very much.
Operator: Thank you. And we open up the line for Joe at Cowen and Co. Are you there, Joe?
Joseph Giordano: I'm here. Can you hear me?
Operator: We can.
Bjorn Rosengren: We do, sure can.
Joseph Giordano: Great. You mentioned customers in Motion is not accepting delivery right now. Can you just talk about the dynamics there, is it part of a larger project where the other pieces aren't available, like how should we -- how should we think about that? Why that's happening and how do you think that plays out into new?
Timo Ihamuotila: Was in relation to the previous answer?
Bjorn Rosengren: I think it was motion. Did you say motion or what did you?
Timo Ihamuotila: I just said drive products in China have had some component shortage issues on the semiconductors, which impacted the China revenue.
Bjorn Rosengren: But I think --
Joseph Giordano: I thought I heard earlier this product that you guys, your customers weren't taking, not that you weren't able to source, that you weren't able to deliver. Maybe I misheard that. Is that true?
Bjorn Rosengren: Yeah. You are talking about the customer acceptance topic. Again, these has nothing to do with the quality of the backlog. This is an issue in couple of places where you would deliver into the project, but somebody else is not delivering in time. And then the customers as well, maybe I could take that a little bit later. So again, it's quite normal behavior in this kind of situation. Doesn't mean at all that our backlog quality wouldn't be where it is. But we had some of these impacts as well during the quarter when you look at the revenue.
Timo Ihamuotila: And that's more related to project orders, actually, I think that not so much on components.
Bjorn Rosengren: Exactly.
Joseph Giordano: Right. Okay. That's kind of what I thought. Is there any -- how do your guys think about that dynamic in 4Q, kind of similar to 3Q as well, like the projects are still held up by others in some cases?
Timo Ihamuotila: Well, I mean, we have taken, as we said today, all these impacts into account to our best ability. So these impacts as well as I said, we're going into Q4 with a higher backlog conversion expected than we did last year. So if this starts to ease, there should be upside on the revenue.
Joseph Giordano: Okay. Last question. Do you guys plan on, or have you already started integrating the [Inaudible] Robotics into your own manufacturing facilities?
Bjorn Rosengren: Yes. I can talk a little bit about that. Yes. It was, of course, completed during the -- both the signing as well as the closing of that acquisition. And it's being integrated. I think for Robotics, this is a perfect fit. This is a good quality Company with respected and good products, and they have the ability to utilize the ABB channel globally. And that is what video. At the moment, we are also setting up production for these products in the Chinese market. So we'll be able to support that market also. But as you heard earlier, we have quite ambitious plans for this business going forward and they're excited in Robotics. And it's a great fit.
Joseph Giordano: I know you use them internally, I assume as well.
Bjorn Rosengren: Yeah. This is normally in ABB, so we utilize in both automation products and Robotics in more or less all our factories. So, yes, these AGVs is part in many of these factors. And going forward, they will be all so you've seen this new ABB products.
Operator: Thank you, Joel. And now let's see if we have Martin from Citi on the line?
Martin Wilkie: Hi. Good morning. It's Martin from.
Operator: Hi, Martin.
Martin Wilkie: A couple of questions for you. Hi. I hope you can hear me okay. The first question was on the impact of power-up prices on your demand, with repeated some questions that I guess already [Inaudible] have impacts on your end markets. But in previous cycles when energy prices have spiked, then some of your products have been more in-demand because of efficiency. And I guess due to that cost, in particular, I guess Motion and Electrification, has there been any indication so far, particularly in Europe where the current prices are up so much that we're seeing a [Inaudible] of requests for efficiency-related products. I guess it's relatively early in this price, right? But just to understand a little bit about that dynamic.
Bjorn Rosengren: I think it's difficult to say short-term price spikes or long-term need for electrifying many parts of the industry and the world. I think we have said from the beginning that we are well positioned when it comes to Electrification in the market, with our Electrification product, but also with our Motion products. Even in Process Automation, we are helping many of the large customers to electrify. I think one example was the movie, which I, of course like very much about e-mining.  Many of these industries need to go for being more sustainable and that's why they going for the electrified, I think this is going to happen every mine in the world. And I think ABB is the right partner to help them to drive this change. So yes, we do believe that there will be demand for more electricity long term, but on the other hand, this is maybe a short-term spike. And then maybe not so much were you -- would like to add something?
Timo Ihamuotila: No, I was just going to comment on that. We reviewed actually in one of our business reviews just a case like this where all the motors and drives would have been changed for this reason. But of course, also because it drives better carbon footprint. So it is happening, is it only because of the electricity price may be not, but I would just say that if that continues, it will add to the demand picture as Bjorn described.
Martin Wilkie: Yes. Thank you. That's great. At least I have 1 other question. You mentioned portfolio change already, but just to come back on the Turbo business. I don't see any end market outlook you give. The one area that has fewer dollars this quarter compared to previously in conventional generation. Just to clarify what we've seen there. And also, would your view on the end market there are changed at timing of the potential exit from Turbo? Just to understand if those two things might be linked or not. Thank you.
Bjorn Rosengren: I think the exit of Turbo is decided. It's just a timing issue when it will be the right and what direction where we'll go if we go for a spin-off or if we go to sales. So from that perspective, I mean Turbo is I mean it's a resilient Company from the beginning. We saw during COVID that they manage to deliver good margin even if they were somewhat lower than we're seeing today. The market has recovered. One big market in this business is the cruising industry. Yes, they are improving service is picking up on that part. In the power generation, it's an other part where they sit on many of these gas engines around the world. demand for electricity is going up so I'm sure that that has some effect. Yes, the quality of the aftermarket, which is 75% of that business, is developing good. So yeah, I think it's a good Company. I think it will be a good companies standing by itself also.
Timo Ihamuotila: And just to mention, we have had a very strong demand pickup in Turbo during this quarter, and it looks actually quite positive. So if you look at orders, revenue, and also margin in Turbo during Q3, they are all moving to the right direction.
Martin Wilkie: That's great. Thank you very much.
Bjorn Rosengren: It's a great business, but we do not feel that it is part of the ABB purpose.
Operator: Thank you. And we'll finish off with a question from Andreas at JPMorgan. Your line should be open, Andreas, please.
Andreas Willi: Yes. Good morning, everybody. Thank you very much. I've got two questions, please. One on your earlier comment on Process Automation and the annual business review there. [Inaudible] you have spent quite some time with that business in the last few months. Maybe you could share a little bit what you see as what needs to happen there, particularly as when we look at measurement and analytics which has been maybe a bit of a problem child in terms of where you see the measures, strategies that gets that business closer to where you want it to be and where peers are. The second question is on sourcing in discrete Automation. Maybe you could elaborate a little bit more on that? You talked about the semiconductor issues. But we haven't -- obviously we'll see another report, but we haven't really heard [Inaudible] or Schneider complain as much about their discrete business into the quarter-end compared to what you highlighted. Maybe you could help us explain why that could be?
Bjorn Rosengren: Yeah. I think that will be difficult to do when we haven't heard, heard yet. We didn't talk too much about that before we -- coming out with the report. It is pretty clear that they are the one who is getting least supply of semiconductors. And of course, they are fighting hard with suppliers to get them and to be able to supply the products. It is tough for them, of course, not being the largest in the market even if they are very strong in the Machine Automation segment, in the part and they just need to deal with that. And they spend quite a lot of time to sort out the issues and going forward, they will slowly pick this up and we will go forward and we will be able to supply the customers. But yes, it's a challenging period.
Timo Ihamuotila: And again, there are no order cancellations.
Bjorn Rosengren: Yes. I mean, they have a very strong -- I mean, they work a lot with your OEM customers, of course, as we're talking about machine builders, so they have a very strong and long relation with them. And so far no cancellation there. So they're coping it with it together and the machine supply is, of course, also having issues probably not only with us, but maybe with other components and products also, so understanding that. If you talk a little bit about Process Automation, I like to talk about this subject. And as you know, from last year and being quite new in the Company and I thought that Process Automation was actually delivering lower deliveries than many of our other business area. So for me it's of course important to understand the dynamic in this business and also the potential improvement where we can develop this business. So we've spent quite a lot of time during the last 2 quarters with this business. And I think we feel that these are basically good businesses. We think that is the improvement when it comes to operational performance in some of these businesses. And I think these divisions are working hard and of course, our guests very happy when I see a quarter where all the businesses are improving and delivering more than double-digit. And I think the potential here is quite good and we have put up strong charges and they have put up a good challenge to improve these performance as during the coming year. So I think we have a lot of good stuff coming out from these businesses on management and analytics. Yes, it's correct. We talked about it last week. And have their management change in this. We have a good management in place and they are dealing with some of the issues.
End of Q&A: